Operator: Thank you for standing by and welcome to Concentrix Fiscal Third Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Vice President, Investor Relations, David Stein. Please go ahead.
David Stein: Thank you, Latif, and good evening. Welcome to the Concentrix Corporation Third Quarter Fiscal 2023 Earnings Call. As a result of the combination earlier this week, we now operate as one Concentrix Webhelp. This call is the property of Concentrix Webhelp and may not be recorded or rebroadcast without written permission. This call contains forward-looking statements that address our expected future performance and that, by their nature, address matters that are uncertain. These uncertainties may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements as a result of new information or future events or developments. Please refer to today's earnings release in our most recent filings with the SEC for additional information regarding uncertainties that could affect our future financial results. This includes the risk factors provided in our annual report on Form 10-K and subsequent SEC filings. Also during the call, we will discuss non-GAAP financial measures, including free cash flow, non-GAAP operating income, adjusted EBITDA, non-GAAP EPS and adjusted constant currency revenue growth. A reconciliation of these non-GAAP measures is available in the news release and on the company Investor Relations website under Financials. With me on the call are Chris Caldwell, our President and Chief Executive Officer; and Andre Valentine, our Chief Financial Officer. Chris will provide a summary of our operating performance and growth strategy, and Andre will cover our financial results and business outlook. Then we'll open the call for your questions. Now I'll turn the call over to Chris.
Chris Caldwell: Thank you, David. Hello, everyone, and thank you for joining us today for our third quarter earnings call. We are thrilled to have you with us as we discuss our performance in the third quarter and the exciting news that we have closed our transformative combination with Webhelp. We're pleased that we executed to deliver revenue and profit growth with strong cash flow in the third quarter. We experienced continued stable demand for high-value and technology-infused services, achieved solid new business signings, and our continued focus on business mix drove margin expansion. We entered the fourth quarter with a strong pipeline of opportunities that we believe will continue to drive our growth into 2024. We reported revenue in the third quarter was $1.63 billion. On an organic constant currency basis, revenue grew 1.7%. Our third quarter non-GAAP operating income increased to $231 million and adjusted EBITDA increased to $269 million, both growing by over 4% compared with last year. Solid execution yielded 10 basis point improvements in both our non-GAAP OI and adjusted EBITDA margins over last year. Our non-GAAP EPS was $2.71 per share compared with $2.95 per share last year, largely reflecting the impact of expected higher interest rates. Given our continued organic growth, strong free cash flow generation and the accretive Webhelp combination, we are pleased to raise the quarterly dividend by 10%. This increased quarterly dividend translates to $1.21 per share on an annualized basis. We continue to grow in each of our strategic verticals, which more than offset continued volume softness with a few select large clients as we discussed last quarter. From a Catalyst perspective, we gained experience -- we again experienced sequential quarterly revenue growth with our digital CX solutions. Our unique digital IT service capabilities with thousands of staff able to design, deploy and integrate technology-infused solutions at scale differentiates us significantly from our traditional CX peers. From a sales perspective, we continue to focus on our [indiscernible] one approach with our combined Catalyst and CX operations, design, build and run services. During the quarter, we saw steady demand across multiple geographies and verticals as clients continue to look for differentiated ways to service their customers while managing their cost structure. While clients are still signing smaller deals that ramp more slowly, we are pleased with the higher complexity work that we will be performing with these new wins. We also see a strong pipeline of opportunities as a combined Concentrix Webhelp organization that we would not have been able to pursue prior to the combination. From an operating perspective, we are delivering exceptional service with record client attainment scores this quarter. Our focus remains on being the best partner for our clients' relationships and winning more opportunities within each account. The more technology-infused services we provide to our clients the stickier our relationships become. Notably, we've accelerated our progress in the quarter deploying generative AI solutions, both internally and with select clients. From an internal productivity perspective, our AI and Alex-based recruiting platform now supports 8.6 million career site visits and processes 3.3 million applications already this year. It has already allowed our team to scale more cost effectively and we see additional benefits as we continue the roll out across our enterprise. Our AI-based workforce management solution optimizes concurrent scheduling and peak management for now over 115,000 of our staff where we see better utilization and user experience for the team. This again will have additional benefits as we scale up to the rest of our workforce. Our most widely used proprietary AI smart assist product improves productivity through automation for over 190 team members now to easily access the tools and provide visibility to the information required to the performs of their jobs every day easier. From the ability for AI to enhance our client services, we use an AI-based quality automation platform to drive insights from 100% of our customer interactions were deployed. Now across tens of thousands of seats, the platform has reviewed 129 million interactions to date, delivering 20% to 30% improvements in audit efficiency and insights into customers, clients that see high value. Our proprietary learning bot utilizes AI to simulate real-world customer scenarios for over 60,000 team members during training, establishing better speed to proficiency, reducing new higher average processing time and improving effectiveness by 5% to 10% in the ramp period. And our cognitive AI bots developed for client-specific implementation will handle over 900 million customer interactions by the end of this year, delivering significant value for our clients and a higher margin service for us. We are actively investing in additional generative AI solutions to further enhance workforce productivity and improve the quality of interactions with customers. We are on track to deploy our AI tools across nearly 80% of our legacy operations business by year-end and start wide deployment of the tool within our new clients from our combination with Webhelp shortly. Turning to AI with our clients. We are also collaborating with some of the world's largest companies to design, build and run generative AI in few solutions across the services value chain. Working with one of our large technology clients in the key project this quarter, we use generative AI to power 35% efficiency gains and deliver releases 30% faster than traditional methods in their software development life cycle. During the quarter, we also delivered a proof-of-concept for generative AI knowledge management that builds 3D modeling and augmented reality solutions for a global retail client that couldn't cost effectively be done before. Catalyst also launched its first deployment of our new generative AI-infused offering AnyPaaS that we have been developing for close to two years. For our first implementation, we seamlessly transitioned the entire CCaaS tech staff of a health care client in less than eight hours, enabling fully automated generative AI experiences for patients and advisers with our generative AI intelligence insights and reporting capabilities. Historically, this would have taken weeks to months to transition. This has resulted in substantial savings for our clients and a new revenue opportunity for our business. For another key client, we are now working exclusively to train and test a generative AI tool in advance of it becoming customer-facing. Using a combination of automation and humans and our unique knowledge of the customer base and domain knowledge, we are building hundreds of thousands of different subject matter conversations to train the AI across multiple categories with a plan to increase the scope to 1 million conversations in the next six months. With all of these examples and with many more we have deployed and are working on, I hope it is evident that we see opportunity to grow revenue and be more efficient with AI and see this as a net benefit to our industry. Now let's turn our attention to the Webhelp combination that sets the stage for a new chapter in our business offering evolution. This combination is a historic milestone in our industry. As a combined organization, Concentrix Webhelp possesses distinct strategic advantages that we believe increases our differentiation and will drive our success as a transformative force in the industry. This combination brings new expertise such as know your customer and anti-money laundering and payment services for our financial clients, IT services at scale in EMEA, deeper domain expertise in a number of our core verticals and helps create a robust footprint spanning 70-plus countries, enabling us to offer tailored solutions on a global scale. We also gained over 1,000 new clients that we believe have the ability to spend on services and capabilities that Concentrix historically has offered. Our commitment to nurturing a supportive and inclusive workforce is further reinforced by the harmonious integration of our cultures, which are globally renowned for their excellence and workplace practices and commitment to ESG. We have a clear path to positive financial returns from the combination with Webhelp. We are well on track to achieve enhanced revenue growth, profitability and non-GAAP EPS accretion within the first year. We expect double-digit accretion in non-GAAP EPS in the second year, further underscoring the financial strength of the combination. In addition to these compelling benefits, our integration process is on schedule, and we are confident that we will achieve cost synergies of $120 million by the third year, including $75 million in the first year post-close with substantial progress made already. Since the announcement, we have been able to spend more time with the Webhelp team, which has given us great confidence that this transaction is the right investment. We expect the integration work to be completed within 12 months, and I would like to welcome all of our new game changers to the Concentrix Webhelp team. I would also like to welcome our two new Board members, Olivier Duha, Webhelp Co-Founder and CEO, who becomes Vice Chair of our Board of Directors; and Nicolas Gheysens, a GBL Partner and Director. Finally, I would like to thank our exceptional staff for their commitment to execution, our clients for their trust, our talented Board of Directors for their support and mentorship and our investors for your continued support. We look forward to an exciting and prosperous year ahead. And now I'll turn the call over to Andre. Andre?
Andre Valentine: Well, thank you, Chris, and hello, everyone. We're excited to have closed our combination with Webhelp earlier this week. Adding Webhelp's talented global staff strengthens our value proposition and solidifies our position as a leading global CX solutions company. Before I provide additional details on the completion of the transaction, I'll first review our third quarter results then I'll conclude with guidance for the fourth quarter, including anticipated contributions from Webhelp. In the third quarter, revenue increased and non-GAAP profit improved, reflecting continued strong execution. Both our organic constant currency revenue growth rate and our non-GAAP operating income came in within our guidance ranges, with non-GAAP operating income exceeding the midpoint of our guidance. Additionally, our strong cash flow generation reinforces our confidence in achieving our full year expectation of generating over $500 million in free cash flow, not including contributions from Webhelp. The 3.4% increase in reported revenue in the quarter included a 1.7 point positive year-over-year impact from the acquisition of ServiceSource in July 2022. There was no meaningful impact from currency fluctuations on reported revenue growth in the quarter. On an organic constant currency revenue basis, revenue grew 1.7%, reflecting a continuation of themes from the prior quarter. Strong growth in health care, banking, financial services and insurance, e-commerce and travel, offset by continued volume softness with a few large clients in the communications and consumer electronics industries. Revenue increased in each of our four strategic verticals in the quarter, with growth from health care clients leading the way, up approximately 17% on both an as reported and organic constant currency basis. Revenue from retail, travel and e-commerce clients posted 8% growth as reported and 7% on a constant currency organic basis, including double-digit growth with travel clients. Revenue from banking, financial services and insurance clients grew by 5% on a reported basis and 6% on an organic constant currency basis. Revenue from technology and consumer electronics clients grew 6% as reported and about 1% on an organic constant currency basis. Revenue from communications clients decreased by 8% as reported and 9% on an organic constant currency basis. Revenue from clients in our other vertical decreased 9% as reported and about 8% on an organic constant currency basis in the third quarter. Turning to profitability. Non-GAAP operating income was $231 million in the third quarter compared with $222 million last year. Our non-GAAP operating margin was 14.1%, up 10 basis points from 14% in the third quarter last year. Adjusted EBITDA was $269 million compared with $258 million in the third quarter of last year. Our adjusted EBITDA margin was 16.5%, up 10 basis points from 16.4% in the third quarter last year. Third quarter interest expense was $49 million, up $29 million from the prior year quarter. Included in the increase was approximately $14 million of interest costs related to the Webhelp combination. This included a charge of approximately $11 million in fees associated with our bridge financing for the Webhelp transaction. It also includes approximately $3 million in interest expense on our senior notes that were issued on August 2nd, net of interest earnings on the invested proceeds. The remainder of the increase in interest expense was due to higher interest rates as expected. Other expense of approximately $6 million in the third quarter included a $2 million mark-to-market adjustment related to the purchase price currency hedge for the Webhelp transaction. The remainder of this line item in the P&L relates to foreign currency losses. The non-GAAP tax rate for the quarter was 26.3%. Non-GAAP net income in the third quarter was $141 million compared with $154 million last year. The decrease primarily reflects higher interest expense and the change in other income expense, which more than offset the increase in non-GAAP operating income. Earnings per share were $2.71 on a non-GAAP basis compared to $2.95 in the third quarter of last year. GAAP operating results for the third quarter included $40 million of amortization of intangibles, $18 million of expenses related to acquisition-related and integration expenses and $11 million of share-based compensation expense. Turning to cash flow. Our third quarter cash flow from operations totaled $211 million and capital expenditures were $44 million. This resulted in record third quarter quarterly free cash flow of $167 million. We continue to expect free cash flow for the full year to exceed $500 million, excluding the cash flow contribution of Webhelp in the fourth quarter and transaction and integration costs. During the quarter, we paid a quarterly dividend of $0.275 per share. As Chris mentioned, our Board has raised our quarterly dividend to $0.3025 per share to be paid during the fourth quarter. This increase to our quarterly dividend reflects our financial strength, our confidence in the future and our commitment to disciplined capital deployment. Share repurchases resumed in the quarter after our proxy statement filing related to the Webhelp transaction. We repurchased 320,000 shares of our stock for approximately $27 million in the third quarter. Repurchased in the third quarter were made at an average price of approximately $84 per share. At the end of the quarter, we had $312 million remaining on our share repurchase authorization. Moving to the balance sheet. At the end of the third quarter, cash and cash equivalents were $2.11 billion and total debt outstanding was $3.97 billion. Net debt was $1.86 billion at the end of the third quarter, a decrease of $117 million from the end of the second quarter and a decrease of $218 million since the beginning of the year. At the end of the third quarter, the elevated cash level reflects funds on hand to complete the Webhelp transaction. The balance -- the debt balance at the end of the quarter includes $2.15 billion of senior unsecured notes issued to partially fund the Webhelp transaction and $1.85 billion outstanding on our term loan. Our $1.04 billion revolving credit facility was undrawn at the end of the quarter, and there were no borrowings outstanding on our $500 million accounts receivable securitization facility. At the end of the third quarter, net leverage was 1.7 times on a trailing four quarters pro forma basis. On Monday, we executed on the closing of the Webhelp combination. To complete the combination, we paid approximately $525 million to Webhelp shareholders, paid off Webhelp debt of approximately $1.9 billion, issued 14.9 million shares to Webhelp shareholders and incurred a EUR700 million two-year note payable to Webhelp shareholders bearing interest at 2%. After the closing, we had cash and cash equivalents totaling approximately $440 million and gross debt of approximately $5.3 billion. Net debt upon closing was $4.85 billion, which represents net leverage of approximately 3.2 times on a pro forma adjusted EBITDA basis. The primary components of our gross debt on the balance sheet post-closing were $2.15 billion in senior notes, $2.14 billion in term loan borrowings, approximately $750 million in notes payable to Webhelp shareholders and $215 million in borrowings outstanding under our accounts receivable securitization. Our revolving credit facility remained undrawn. The issuance of shares to Webhelp shareholders increased our outstanding share count to approximately 66.6 million shares. Regarding the $2.15 billion of senior notes, on the day the combination closed, we entered into cross-currency swap arrangements for a total notional amount of $500 million of the notes. The arrangements effectively convert $250 million each of the 2026 and 2028 notes in the synthetic euro-based debt at lower prevailing interest rates. In addition to aligning the currency of a portion of our interest payments to the organization's euro-denominated cash flows, the swaps also reduced the weighted average interest rate of the $2.15 billion notes from approximately 6.70% to approximately 6.36%. As we said when we announced the Webhelp transaction, the combination of our strong free cash flow generation and adjusted EBITDA growth gives us a clear path to reducing leverage, and we're committed to reducing our net leverage to about two times adjusted EBITDA within two years after the transaction closed. Regarding our capital allocation priorities, our focus is on organic growth, the successful integration of Webhelp, realizing the planned synergies and repaying debt. We are committed to investment-grade principles. We will prioritize paying down debt and reducing our net leverage while continuing our dividend and disciplined share repurchases to offset the dilution of equity grants. Now I'll turn my attention to the business outlook for the fourth quarter, including anticipated contributions from Webhelp. The Webhelp contribution in the fourth quarter guidance includes forecasted financial performance for a period of slightly more than two months. For the fourth quarter, we now expect reported revenue to be in a range of $2.19 billion to $2.215 billion based on current exchange rates. Our fourth quarter expectations reflect approximately 2% to 3% of pro forma constant currency growth for the combined organization if the combination had occurred at the beginning of the fourth quarter of 2022. Excluding the effect of the Webhelp combination, our expected constant currency growth in the fourth quarter would be consistent with the prior guidance for the full year. Our profitability expectations for the fourth quarter include non-GAAP operating income in a range of $330 million to $340 million. At the midpoint of our guidance, this equates to a non-GAAP operating income margin of approximately 15.2%, an increase of 10 basis points over the prior year. Excluding the effect of the Webhelp combination, our expected non-GAAP operating income in the fourth quarter will be consistent with the prior guidance for the full year 2023. We expect net interest expense in the fourth quarter to be approximately $72 million with an effective tax rate of 26% and a weighted average diluted share count of approximately 62 million shares. Note that the average diluted share count for the fourth quarter is less than the 66.6 million outstanding shares post-close as a result of the mid-quarter timing of the close. Accordingly, we expect non-GAAP EPS for the fourth quarter to be in a range of $3.03 per share to $3.15 per share. This expectation for non-GAAP EPS assumes no impact from other income and expense due to the unpredictability of future foreign currency movements. We continue to expect the business to generate robust cash flows with free cash flow for the combined organization to be in the range of $200 million to $225 million excluding any transaction and integration costs in the fourth quarter. Our business outlook does not include transaction and integration costs associated with the Webhelp combination or any future acquisitions. Also not included in the guidance are impacts from future foreign currency fluctuations. We continue to expect the Webhelp operations to generate approximately $3 billion of revenue and approximately $500 million of adjusted EBITDA for the full year 2023, with the combined organization yielding nearly $9.6 billion in revenue and nearly $1.6 billion in combined EBITDA on a pro forma basis for the full fiscal year 2023. We expect earnings per share accretion of mid to high single-digits in the first full year after close and double-digit appreciation -- accretion in the second year. We also expect to realize $75 million in synergies in the first year after closing, growing to $120 million in synergies in year three. We plan to provide guidance for 2024 on our fourth quarter results call. In closing, the Webhelp combination has joined two leading CX providers into a global platform for growth and value creation, bringing clients from growing markets, further diversifying our marquee client list and significantly increasing our presence in Europe, Latin America and Africa. Our range and global reach of high-value services and additional capabilities have been expanded enhancing support for clients that both companies couldn't adequately serve independently. We have a strong track record of success integrating prior combinations, which will make the combination and integration more seamless. And we believe this highly complementary union creates a unique customer engagement offering that will keep our business resilient through business cycles. We're excited about the combination with Webhelp. We look forward to the growth and value it will create in the future. At this point, Latif, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ruplu Bhattacharya of Bank of America.
Ruplu Bhattacharya: Hi. Thanks for taking my questions. Andre, if you can -- I was wondering if you can kind of simplify what the contribution is from Webhelp for fourth quarter revenues, operating margin and EBITDA? You gave a lot of details, but I'm not sure I got all of that. So can you please specify how much is the revenue contribution, operating income contribution? And what is the core business doing in the fourth quarter?
Andre Valentine: Yes. So happy to do that, Ruplu. So I'll start with revenue. So from a revenue perspective, the legacy Concentrix operations pre-Webhelp are very much in line with the prior guidance. So the prior guidance for the full year, Ruplu, was to grow 2% to 3% for the full year. And so that will be the contribution from the Concentrix operations will be in line with that guidance. So that kind of covers that. Webhelp certainly accretive to the overall growth rate as we expected, and it will be here in the fourth quarter. So that's that. From a margin perspective, really, if you go back to when we announced the transaction, the margin profiles of the two businesses were very, very close, both from an EBITDA perspective and a non-GAAP OI perspective. And so included in the guidance, you can pretty much, at the midpoint, that 15.2% non-GAAP OI margin, you can pretty much apply that to both sides. Depreciation is a little bit -- we've talked about this in the past for Webhelp a little bit higher as a percentage of revenue. So you might see 10, 20 basis points or so higher adjusted EBITDA margin coming from the Webhelp side, but again very complementary from a margin perspective in Q4. And then I expect significant margin improvement as synergies start to roll in, in earnest as we move into 2024.
Ruplu Bhattacharya: And again, just to clarify, I mean, based on what you just said, would that imply like about $500 million on the revenue contribution from Webhelp in fiscal 4Q? And then can you talk about the below-the-line items like below operating income? Can you remind us what the interest expense is going to be in the fourth quarter as well as are there any other expenses? I think you said there was also integration costs. What is the estimate for that for the fourth quarter?
Andre Valentine: Yes. So integration costs in a quarter are a little hard to give an exact estimate on. So overall, the integration costs what we said about those is they will be one for one matching the synergy number. So $120 million total in integration costs, somewhat front loaded with roughly $80 million or so in the first year, I believe, and $40 million in the second. So think of that, that $80 million, think of -- will that equate to in two months, and you're probably in line there. The other part of your question, I missed it, oh, the revenue contribution. I think you're a little low at $500 million. The contribution from Webhelp is higher than that.
Ruplu Bhattacharya: Okay. And maybe for my last one, maybe I'll ask one to Chris. So you talked about working on some AI -- generative AI projects. So Chris, when we think about this, I mean, based on the experience you have now, clients want to understand the impact of generative AI. Do you think -- I mean, in the past, you said like 10% to 15% of volumes can get impacted. I mean how has your thought changed if at all now that you're doing more of these projects? And do you think that impact varies by end market use case? And how should we think about that? I mean, any way to quantify this at this point in the cycle? Thank you.
Chris Caldwell: Hi, Ruplu. So a couple of different points there. I think when we talk about 10% to 15% of transactions can be automated, that's what we're doing on a yearly basis, regardless of generative AI or RPA or anything else that's coming along with it. And what we've talked about is that generative AI can probably increase that by a little bit, but not dramatically more than that from what we're seeing as we deploy these practices. What's offsetting that is the new revenue streams that we're seeing by deploying these new technologies, both from design, implementation and running the new technologies and curating the content that goes along with it. And as we kind of talked in some of the prepared remarks, even net new areas that we're deploying our own platforms where we're getting net new revenue flows that are coming in for that. So that clearly is what we're focused on offsetting any revenue headwinds as well as taking more share within the clients. I think what we're seeing right at the moment is that we are able to deploy generative AI faster than some of our clients can actually deploy it. And so we're seeing the benefits in our operating cost structure and scalability that we called out a number that are starting to get to scale. And hopefully, we'll see additional benefits from those as we get them to -- across the entire enterprise, including the new Webhelp combination, which I think offsets any kind of cost mitigation that we might have from any impact from a revenue perspective that's coming in from automation, if that makes sense.
Ruplu Bhattacharya: Thanks for all the details. Appreciate it.
Chris Caldwell: No problem. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Oliver Davies of Redburn Atlantic.
Oliver Davies: Yes. I guess a couple of questions. Just firstly, in terms of you kind of held the revenue growth guidance for the Concentrix legacy business. So can you just talk about what you're seeing in terms of underlying volumes? And new client decision, I guess, it looks like health care kind of accelerated in the quarter as most of the other sectors were look pretty similar to the last quarter. And I guess following on from that you know a client is still looking to offshore where possible or has anything changed on that front?
Chris Caldwell: Hi, Oliver. So to answer your first question, what we're seeing is kind of continued consumer, I'll call it, budgeting for new consumer electronic devices, subscription spending, other things that are somewhat discretionary. So we continue to see those volumes depressed across some of our larger clients. But the volume is now becoming more steadily depressed if that makes sense. It's more stable versus what we saw at the beginning of the year where it tends to fluctuate. We are seeing growth in the strategic verticals that we've called out, primarily because of net new wins and net new services we're putting into those verticals, such as the health care vertical, banking, financial services. And even travel, we're doing quite well at. And we still see travel, despite sort of my comments about consumers cutting back in some areas, being quite robust into the future from a volume expectation perspective. From just an overall offshoring, near-shoring comment, as we've talked about before, clients, for the most part, are very focused on managing their cost structure. And so pretty much the majority of all new transactions and deals and ramps of existing clients are tending to be done at the most cost-effective shore environment, whether that be near-shore or offshore. Very few starts -- in fact, very, very, very few starts are starting out onshore at a higher cost structure. It's just not in clients' budgets right at the moment.
Oliver Davies: Okay. Great. Thanks. And then maybe one for Andre just on the free cash flow, just it looks to be driven by working capital. So could you just comment on the reasons for that in terms of free cash flow?
Chris Caldwell: Andre, you're not coming through.
Andre Valentine: Sorry about that. We muted ourselves for a second. So Oli, you're right. The improvement in free cash flow is largely coming from working capital improvements. And that's really just a focus on the blocking and tackling of getting bills out on time and collected on time, which drove roughly a two-day improvement from the prior quarter in our days sales outstanding. So it's really just an increased focus on that. It's always been a focus, but just really good execution by the team in getting the bills out and getting them collected. And we think it's sustainable as we move forward. Feel very, very confident about the free cash flow guide for the fourth quarter and feel really good about hitting the guide that we set out at the very beginning of the year to generate without Webhelp $0.5 billion or more of free cash flow this year. We're definitely on track to do that if you look at how we've done through three quarters.
Oliver Davies: Great. Thanks very much for answering the question.
Andre Valentine: Thanks.
Operator: Thank you. [Operator Instructions] Please stand by for our next question which comes from the line of Divya Goyal of Scotiabank.
Divya Goyal: Good afternoon, everyone. So Andre, you briefly addressed part of my question, which was on the guide that you provided. So Chris addressed that there is some continued, how should I say, slowdown in the macro that's been noted across the business. What level of confidence can we see in terms of the overall guidance that you provided for Q4? And how should we expect the business to perform going forward, considering, obviously, what's going on with the AI transformation alongside the macro impact?
Chris Caldwell: Actually, Divya, why don't -- sorry -- why don't I take that because it ties into some of the AI conversation that we're talking about. So a couple of different points to it. When we look at our guidance for Q4, what we've kind of stated before is that we've stripped out the seasonality of the business that historically has been in Q4, primarily based on what we saw last year. And so when we're talking to our clients and we're looking at their volumes, we're seeing that sort of flatness from a seasonality perspective come through. As I also mentioned, what we're seeing is sort of a steady rate of business from the clients that have seen decreased volumes based on consumer demand. And those are kind of continuing through and they've been kind of trailing as we have expected for the last number of weeks in last quarter. So we're kind of looking at that as pulling through to Q4 as well. And then on the third element from a generative AI perspective, right now, we're seeing generative AI as an additive revenue to our business, where we're doing the consulting, we're doing the implementations, we're doing the proof-of-concepts, we are getting services for building out the models and managing those models as they start to come into production. And so that has really no impact in our fourth quarter outside of the revenue that we expected that's already been booked or sorry that's been sold and now we're going into the implementation and billing phase.
Divya Goyal: That's helpful. Just following on this thought process here, I wanted to understand, have you been seeing any pricing pressure or conversely any margin benefits, given the automation that you are trying to bring across the customers?
Chris Caldwell: Yes. So we do see pricing pressure in the highly transactional business. And as we've talked about it, that's about 10% of our business, although it continues to decline. If you think about it back in February, it was about 13%. Now it's down to 10%. And our goal is obviously to continue to drive that down. In that part of the segment -- part of the business, it's very easy to ramp. It's quite commodity-based business. And there are certainly people who are chasing it for revenue. Our preferences to more focus on the higher-value services and win that business by quality of service, but not worry about it if it goes away from just a pure pricing perspective. In the higher-value services, we're seeing it much more stable from a pricing environment. Clients are more focused on the security, the work that you're doing, they're focused on compliance of the work that you're doing. They're focused on consistency of the work. They're focused on how you're going to actually deliver the outcomes. And so therefore, where we're putting in technology, where we're putting in sort of this automation for driving better efficiencies internally that is what is supporting our margin stability within those clients. And we expect that, that will continue on as we continue to execute on our strategy.
Divya Goyal: That's very helpful. Thanks, Chris.
Chris Caldwell: No problem.
Operator: Thank you. [Operator Instructions] As there appear to be no further questions in queue, this does conclude today's conference call. Thank you for your participation. You may now disconnect.